Frode Arntsen: Good morning, everyone. And welcome to the Presentation of SalMar’s Results for the First Quarter of 2024. My name, Frode Arntsen, and I'm the CEO of SalMar. And together with me today, we have our CFO, Ulrik Steinvik. It has been a demanding winter period that we will summarize today, cold winter temperatures, extreme weather and several attacks from string jellyfish have left their mark on the result. I can already now say that we are not completely satisfied with the result we are presenting today. This is not where we want to be. We have good control over the underlying operations. But when we have greater challenges as a result of nature incidents that affects us, the biological cost becomes high and impact the results negatively. And these experiences, it does something to us. Our desire to improve becomes even stronger. And as I've said before, in SalMar we care. We care about the fish, the people, the customers, the environment and the local community that we are a part of. Therefore, we do not want it to be like this. It's not just me as a CEO who feels that way, everyone who works at SalMar feels this, because we know that there is a great potential for improvement and we will work hard to take that out at every step of the value chain, always on the terms of the SalMar. But let's go to the review. It'll follow the same order as before. I will take you through some highlights and the operational results for different segments, before our CFO will take you through the financial update. At the end, I would like to focus on how we strengthen the value chain. As mentioned, the first quarter was a demanding quarter for us at SalMar, where challenges we have had at sea have had a negative impact on the results we present. In total, we harvested 45,400 tonnes for Norway at the margin on NOK34.1 per kilo. Overall, for the Norwegian operations, we delivered an operational EBIT of NOK1,546 million. Including Icelandic Salmon and SalMar Aker Ocean, we harvested 52,900 tonnes in the quarter with a total operational EBIT of NOK1,512 million to margin of NOK28.6 per kilo. The farming segments in Norway and especially Northern Norway are affected by challenges related to jellyfish and winter wounds, which has affected the result in the quarter. This also affects the sales and industry segment, which through its structure helps to handle the challenges we have experienced. SalMar Aker Ocean has harvested from both its units in operation. Biological challenges affected the result in Iceland. And it is good that we are seeing a significant improvement in the results from Scottish Sea Farms. We continue to have a solid and robust financial position and we maintain our volume guidance for 2024 unchanged in all regions. In short, we are no more than reasonably satisfied with the results in the quarter, but I am [incredibly] impressed with the effort that has been put in from all our staff in every single day. In addition, new steps are constantly being taken to make us even better in the future, something I will return to. But first I want to go through the operational review where I will start with Farming Central Norway. In Central Norway, we harvested 27,800 tonnes in the quarter with an operational EBIT of 1,186 million, which gives EBIT per kilo of NOK42.6, a satisfactory result despite the challenges we have experienced. During the period, we have harvested from the autumn 22 generation and started harvesting from the 2023 generation. And at the beginning of the year, we experienced several extreme weather events, which meant that we have had some one-off incidents related to this, which in total amounts to approximately NOK1.5 per kilo in the quarter. Looking ahead, we will continue and end harvesting from the autumn 22 generation in the second quarter, and we will continue harvesting our 23 generation. There are still some challenges at sea, but overall, there is a good biological status for the fish we have in the sea in Central Norway. Going into the first quarter, we expect a somewhat lower cost level than we had in the first quarter, and we expect the volume to be lower compared to the same quarter last year. The volume guidance for ‘24 is unchanged at 146,000 tonnes. In Northern Norway, we harvested 7,500 tonnes in the quarter with an operational EBIT of NOK476 million and EBIT per kilo of NOK27.1. Northern Norway delivered a weak result as a result of the string jellyfish and winter wounds. During the period, we have continued to harvest our spring 22 generation and have also harvested from the autumn 22 generation. In good dialog with the Norwegian Food Safety authorities, we have been forced to cull fish at several locations due to attacks from string jellyfish. In total, non-recurring effects on such events amount to NOK3 per kilo in the quarter. And during the period, we have also had to take out fish with a low average weight and a lower proportional superior share that before, which affects both cost and price achievement. Together, this means that Northern Norway delivers [weekly] and weaker than what we envisioned when we presented the re results last time. Looking ahead, we will continue to harvest from the same generations as in the first quarter. And unfortunately, the challenges are not over, even though the biological situation is now better than it was in the first quarter. We expect a similar cost level in the second quarter compared to what we have now in the first quarter. And we expect somewhat higher volumes in the second quarter compared to volumes in the same quarter last year. The volume guidance for ‘24 is unchanged at 91,000 tonnes. The sales and industry segment delivers an operational EBIT of minus NOK37 million. As a result of natural seasonal variations in volume, we have had a lower capacity utilization of our facilities in the value chain during the period, especially from harvesting. And we can clearly see the strengths of the flexible structure we have in SalMar with a focus on high local processing capacity close to the areas where we farm in quarters like this. The challenge in the quarter has been that the peak capacity on [indiscernible] value added processing has not been large enough so that we unfortunately do not get an optimal disposal of the fish that come into our facilities. This is something we want to strengthen. I will come back to this. As expected, the contract share was 39% in the quarter. And as a result of the high spot prices we have experienced, the contracts made a negative contribution overall. Spot sales have still been handled in a good way, so we have had a good price achievement on this. In the first quarter, we expect continued low volume through our facilities as a result of normal seasonal variations. And as a result, we expect the contract share to be around 48% in the second quarter. For the full year ‘24, the contract share is approximately 30%. And now to Icelandic Salmon in the west fields in Iceland, where we harvested 2,800 tonnes in the quarter with an operational EBIT of minus NOK6 million and EBIT per kilo minus NOK2.3. A weak result that is affected by the biological challenges related to lices at the start of the fourth quarter where the site that we have harvested had a big cost base. The result is also reduced by one-off costs related to incidents at sea and at a small facility of EUR3.6 million or approximately NOK15 per kilo in the quarter. Looking ahead, we expect a continued high cost level as a result of the fact that we will be harvesting from the same location with a high cost base. We expect higher volumes in the second quarter compared to what we have harvested at the same time last year. The expected volume for 2024 is unchanged at 15,000 tonnes. As probably several of you have seen, we are still waiting for the final clarification on the award of new licenses in Iceland of 10,000 tonnes MIB. We will come back with more details related to this when it's ready. SalMar Aker Ocean has now harvested both of its semi offshore units. In the first quarter, 4,800 tonnes were harvested with an operational EBIT of minus NOK28 million and EBIT per kilo of minus NOK5.9. In addition, approximately 2,000 tonnes will come from joint operations with SalMar a little later this year. It is worth noting that EBIT per kilo is lower for our offshore projects as they have higher depreciation than traditional farming. EBITDA per kilo for harvest results in the period was NOK19.3. In January, the last cage at Arctic Offshore Farming was emptied and this received a low price achievement as a result of cage being attacked by string jellyfish at the very end of the production cycle. In addition, Ocean Farm 1 was harvested in March. And as a result of low capacity utilization of the unit, cost per kilo is affected. But once again, we have experienced very good biological performances on the fish that were harvested from both units. And as you can see in the table at the bottom of the page, we have experienced low mortality, low lice levels and very good growth. This gives us increased confidence in the further potential offshore. And in 2024, we will release fish in both units for the start of new production cycles that are planned for harvest in 2025. At the same time, the work on possible establishment internationally is also proceeding according to plan. For the year ’24, we keep the volume guidance unchanged at 7,000 tonnes with the remaining volume being harvested towards the summer. Then we move on to our joint venture in Scotland, Scottish Sea Farms, where it is good to see that they are back on profit again and delivering a better result. In the first quarter, 7,300 tonnes were harvested with an operational EBIT on NOK138 million and EBIT per kilo of NOK18.9. As we mentioned at the previous quarterly presentation, we saw a significant improvement in the biological situation in Scotland in all regions through Q4, and this has continued in 2024. This has led to better results on harvesting on harvested fish during the period with improvements in both cost levels, price achievement and average weight. As usual, there is somewhat high contract share in Scotland at 45% and this had a negative contribution as a result of this high spot prices. Looking ahead, it looks good for the fish we plan to harvest in the future in all regions, and there is a good biological status of the fish where the average rate has increased and the cost is lower than previous quarters. We keep the volume guidance for ’24 unchanged at 37,000 tonnes. With this, I have come to the end of the operational update. And I now want to give the floor to Ulrik who will take you through the financials.
Ulrik Steinvik: Thank you, Frode. And good morning, to all of you. As Frode’s communicated weather and nature have affected the biology, and thus also the financial results for the first quarter. In SalMar, we have a clear focus on operational risk and made a postulate focus on the solution and a strong ability to execute. Relevant measures will be implemented on an ongoing basis to reduce the risk and consequences of any similar situations later on. Despite the impact on financial results, SalMar’s strong focus on cost and continuous improvement efforts has contributed to a reduction in the underlying costs in the quarter, which paves the way for improve results going forward. I will come back to how we work with this in SalMar at the end of my part today. Otherwise, my review today will follow the usual procedures with a focus on the Group's profit and loss, balance sheet and debt development in the quarter, where we will see that the financial position has improved further in this quarter as well. I would like to start by making some comments related to the profit and loss statement. At the top right, we see that operational EBIT fell by NOK646 million compared to the fourth quarter from NOK2,158 million to NOK1,512 million. Seasonally, lower volumes are the main reason for the reduction in operational EBIT. Furthermore, we see from the graph that the volume reduction is partly offset by the fact that the price achieved in the quarter is significantly higher in the first quarter than achieved in the fourth quarter as a result of higher market and contract prices. Higher costs contributed to reduced operational EBIT compared to the fourth quarter. I would like to clarify that this is not a result of a higher cost base but an implicit calculation as a result of increased cost per kilo. Increased cost per kilo is due to harvest of fish with a low average rate in north as well as one off effects related to events with extreme weather and culling of fish due to fish welfare totaling to NOK86 million. In sum, this means that cost compared to the previous quarter are increasing. Icelandic Salmon and SalMar Aker Ocean contribute with a negative change in the operational EBIT of a total of NOK71 million. This is due to lower volume overall but also due to lower contributions as a result of one off costs of NOK41 million in Icelandic Salmon and the impact of string jellyfish on the Arctic Offshore Farming Unit. The share of volume from the offshore operation is higher in the first quarter. And as also commented by Frode, EBITDA is a more relevant measure for offshore operations, which affects the assessment of the overall operational EBIT figures for the Group. For those of you who compare research with other players in the industry and those of you who are going to enter the figures into your spreadsheet models, I would like to highlight that all costs, including restructuring costs and special costs, are part of SalMar’s reported operational EBIT. Moving on to the profit and loss statement to the right. I would like to comment on the main points for the first quarter of 2024. EBITDA was NOK1,919 million and operational EBIT was, as previously mentioned, NOK1,512 million. As you can see, we have paid NOK55 million in production tax in Norway and resource tax in Iceland, an increase from Q1 2023 affected by the fact that the production tax has increased to NOK93.5 per kilo in 2024 for Norway compared to NOK56 in the same period last year. As a result of seasonally lower biomass and measures to safeguard fish welfare, net fair value adjustments are negative. The change in fair value reduces the result by NOK320 million -- was NOK67 million. It is good to see better results from Scottish Sea Farms that contributed with NOK33 million in the quarter. The other significant associated companies Hellesund Fiskeoppdrett and Wilsgård Fiskeoppdrett make a positive contribution as a result of good results on their harvest volume, but which is offset somewhat by negative fair value adjustments of biomass. The net financial cost amounts to NOK232 million, somewhat lower than at the same time last year despite higher interest rates through last year, but as a result of the debt being significantly reduced since the same time last year. In total, this gives a profit before tax of NOK971 million. Ordinary corporate tax and accrued resourcing tax for the first quarter of 2024 amount to a total of NOK76 million in tax expense. The low tax cost is affected by changes in the deferred resource in tax calculated on the fair value adjustment. For further details, please see the notes to the report from more detailed presentation and explanation. Profit for the period is consequently NOK895 million for the first quarter of 2024. And now to the balance sheet, where financial key figures are still robust and solid. There are no significant changes in the balance sheet in the quarter, but we see that total assets are somewhat down compared to the status at the year end. Fixed assets are affected by profit in associated companies and CapEx projects. As previously guided, CapEx are at a lower level compared to previous periods and where the focus is on CapEx related to fish welfare and processing capacity. Frode will come back to this. Current assets have been reduced mainly as a result of the biomass being lower than at the end of last year and compared with the same time last year. This is due to the challenges we have experienced throughout the winter. As we mentioned at the previous quarterly presentation, we will increase the smolt release significantly in 2024, both to take advantage of the potential we see in our value chain and to compensate somewhat for incidents we have had throughout the winter. The smolt release started in April and will continue in the months ahead with full force. Through the reduction in total assets and the net positive result during the period, the equity ratio has increased to 46%. Net interest bearing debt, including leasing is now NOK14.4 billion with key figures for net debt ratio, including leasing on EBITDA have been reduced to 1.6. Without leasing, the net debt ratio is 1.4, well below our long term target of being below 2.0 in debt ratio. This means that at the end of Q1 ‘24, we have NOK10.3 billion in available liquidity in the Group. Overall, the balance sheet, the financial key figures and available capital, show that we have a robust financial position that makes it possible to seize the growth opportunities that arise. In this connection, it can be mentioned that SalMar took advantage to grow through the traffic light system in April, which has resulted in an investment of approximately NOK130 million. I would like to briefly explain the change in net interest-bearing debt, including leasing in the quarter. We started with a [NID] including leasing of NOK14,952 million. During the period, we have had a good cash flow from operations where EBITDA was NOK1.9 billion. Tax payments amounted to NOK70 million in the quarter and changes in working capital amounted to NOK534 million. In total investments amounted to NOK429 million in a quarter, which is lower than previous periods. As mentioned in at the previous presentation, smolt investments will be lower in 2024 after our CapEx projects are now in the final phase. You can also see that maintenance and fish welfare CapEx in farming make up the largest contribution now in the first quarter. When you take into account amounts spent on interest and leasing during the period, we end up at NOK14,445 million in [NID] including leasing at the end of the first quarter of 2024. This is a reduction of NOK508 million in the quarter. As mentioned at the previous quarterly representation, the Board of Director of SalMar has proposed a cash dividend of NOK35 per share for the financial year 2023. This will be subject to approval at our Annual General Meeting on 6th of June with payment around 10th of June. As earlier mentioned, integration and synergy realization has been important and a prioritized work in 2023. This work has been completed and we have now started the work of optimizing and [indiscernible] developing the business at all levels and throughout the value chain. Biological challenges as a result of weather and nature in individual quarters do not affect our continuous work on improvements or other growth ambitions where focus on the strong corporate culture are important catalysts. Everything we do today must be done better than yesterday, it’s just an important postulate and a postulate that lives actively in SalMar and has helped to define SalMar. We have now started a new improvement program and strategic period with a structured approach to the entire value chain and with the inclusion of all levels were established, where established roots and mindsets throughout the value chain are challenged with purpose of establishing common goals and measures for reduction cost and increased value creation. This means that we look at both negotiations and tuning of activities, possible changes in how we view on both improvement and costs, as well as possible structural changes in the business, both in terms of how we solve different challenges and how we organize ourselves and establish internal structures and guidelines that ensure the same focus. Through this work, we'll create shareholder value by being best at operation, strengthen the ability to create profitable growth and at the same time, safeguard and ensure appropriate financial capacity. In the short term, we are just maintaining the previously guided volume [indiscernible] [and see] underlying lower cost for volumes harvested in the second half of 2024, although, biological costs at some locations affect the total figures. In the longer term, we maintain the previously stated target of 300,000 tonnes in Norway through organic growth without any significant capacity increasing investments, as well as a reduction in cost as a result of our indicated improvement programs. Further details about this will be communicated at the end of this year. In other previous strategic period, which ran from 2018, we increased efficiency and distance to our competitors and still see significant potential to do even better going forward. This is work that gives motivation and something we look forward to. And Frode will also give you some details about how we are thinking about the future in the strategic update. And with that, I give the floor back to Frode again.
Frode Arntsen: Thank you, Ulrik. At SalMar, we are always chasing [indiscernible] [pole] position. It takes continuous work to make us a little bit better every day. That is why we are now taking steps throughout the value chain to make us even more robust and flexible, but most importantly, measures that improve fish welfare. The winter wound problem has been demanding this winter and the smolts we release in the future will have a new vaccine that has been shown to have better resistance to winter wound bacteria through trials. This will not have an effect now in 2024. But in the long term, we expect to see a significant effect from this new vaccine. As mentioned earlier, we are now self sufficient in high quality smolt from our own facilities. Now in May, the first fish was delivered from [Indiscernible] to the sea. With this, we have even greater flexibility and capacity to deliver the right smolt to the right location at the right time. Therefore, we have several ongoing projects on both new farming technology and more generalized treatment that we are currently implementing. Last but not least, we are increasing our peak VAP capacity, which gives us increased flexibility and the opportunity to optimize the value creation of our salmon. At the same time, through increased VAP capacity, we will be able to help us adapt our products according to the customers’ needs to an even greater extent. Because the demand for salmon is out there, it’s still very strong. I myself have been to several large seafood fairs this year and most recently in Barcelona a few weeks ago. And the overall tone among our customers are the same. They want more sustainable proteins for their customers around the world. And all of our customers want to grow their business and they need our salmon, because healthy nutritious, sustainable proteins like salmon are important to the world. And that's why we are also very proud of our sustainability report that we published at the end of April. In fact, the 10th report in the series we have published. Here we go into details and many areas we explain how we work every day to become even better. And as a picture of how we work, I like to highlight the treatment of wastewater from our smolt facilities. In the picture to the right on the screen, you can see the wastewater at [Indiscernible], our newest hatchery after it has been treated and ready to be sent out in the Fjord of [Indiscernible]. A series of articles in the Norwegian media gave the impression that it was dirty and untreated water we were sending out, but this is not the case. At [Indiscernible] and our other facilities, we have modern treatment plants that purify the water and remove the sludge before it goes back into the fjords, because it is our responsibility to ensure that we run the industry as [sustainably] as possible. If we do so, the industry is an internal source of income for Norway and the world, and perhaps one of the best opportunities to feed an ever increasing world population. But we must acknowledge that there are also challenges in our industry, and especially related to fish welfare and biological KPs. Their development has gone in the wrong direction in recent years. Therefore, at the beginning of March, SalMar launched the Salmon Living Lab, a groundbreaking new research and development center where we together with a lot of different partners, will go into detail on all the different steps of the value chain to understand more about our most important input factor, namely the salmon itself, because we have several knowledge gaps. Our industry is young and we need more knowledge to develop it further and take further steps. And the reception we received from the launch was very good and we have received a number of stakeholders who have contacted us and want to know more or be a part of this groundbreaking project. Everything from large and small aquaculture companies, research and educational environments, suppliers to the industry and several others, we see this as very positive. In addition, we see that the collaboration with Cargill works very well. Together, we can find solutions to the problems we face, because we cannot do this alone, but together with others, we can make it happen. The process of recruiting key personnel for the project is proceeding according to plan where we will inform you on an ongoing basis about news related to this and other important events through the project's Web site. We are building on many projects that we have already initiated, but this initiative will intensify and expand our efforts. We strongly believe that over time this will help drive the industry forward, so that we can really exploit the potential that lies in the salmon and the salmon industry. And now to the outlook. For 2024, the global supply growth is expected to be very limited. We continue to see strong demand from our products -- for our products in markets around the world. And in this situation, we at SalMar have a significant untapped potential within existing licenses in all regions, which we will take out in the years to come. Our job is to ensure that people and fish drive and that we can take advantage of the strong platform we have in SalMar. We have a good company and dedicated employees who work very hard every single day. As I've said before, we must work with both heart and mind to achieve this and we will continue to do so in the future. We have gone through the guidance for the second quarter and volume expectations for 2024. You can see it summarized on the right side of the chart. With this, we have come to the end of the presentation. Thank you very much for your attention. Our next presentation is in August, and I hope that everyone will have a nice spring and summer with a lot of good salmon on your menus. Thank you very much.
End of Q&A: